Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Banco Macro's Second Quarter 2022 Earnings Conference Call. We would like to inform you that the 2Q '22 press release is available to download at the Investor Relations website of Banco Macro, www.macro.com.ar/relaciones-inversores. Also, this event is being recorded. And all participants’ will be in listen-only mode during the company’s presentation. After the company’s remarks are completed, there will be a question-and-answer session. At that time further instructions will be given. [Operator Instructions] It is now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Gustavo Manriquez, Chief Executive Officer; Mr. Jorge Scarinci, Chief Financial Officer; and Mr. Nicolas Torres, IR. Now I will turn the conference over to Mr. Nicolas Torres. You may begin your conference.
Nicolas Torres: Thank you. Good morning, and welcome to Banco Macro’s second quarter 2022 conference call. Any comments we may make today may include forward-looking statements, which are subject to various conditions, and these are outlined in our 20-F, which was filed to the SEC, and it's available at our website. Second quarter 2022 press release was distributed yesterday and it's also available at our website. All figures are in Argentine pesos and have been restated in terms of the measuring unit current at the end of the reporting period. As of 2020, the bank began reporting results applying hyperinflation accounting in accordance with IFRS IAS 29, as established by the Central Bank of Argentina. For ease of comparison, figures of previous quarters have been restated applying IAS 29, to reflect the accumulated effect of the inflation adjustment for each period through June 30, 2022. I will now briefly comment on the Bank's second quarter 2022 financial results. Banco Macro's net income for the quarter was ARS4 billion, 41% lower than the first quarter of 2021 and 45% lower than the result posted a year ago. The bank's second quarter 2022 annualized ROE and ROA of 5.1% and 1.3%, respectively, remained healthy and showed the Bank's earnings potential. Net operating income before general and administrative and personnel expenses for the second quarter of 2022 was ARS81.3 billion, ARS6 billion higher quarter-on-quarter, due to higher net interest income and higher FX gains. On a yearly basis, net operating income increased 26% or ARS16.6 billion due to higher net interest income and higher net fee income. Operating income after general, administrative and personnel expenses was ARS44.5 billion, 4% or ARS1.6 billion higher than in the first quarter of 2022 and 39% or ARS12.6 billion higher than in the second quarter of last year. In the quarter, net interest income totaled ARS53.1 billion, 8% or ARS4 billion higher than the result posted in the first quarter of 2022 and 27% or ARS11.3 billion higher than the result posted one year ago. In the second quarter of 2022, interest income totaled ARS96.1 billion, 19% or ARS15.3 billion higher than in the first quarter of 2022 and 32% or ARS23.5 billion higher than the previous year. Within interest income, interest on loans totaled ARS41.7 billion and increased 5% or ARS2 billion quarter-on-quarter, mainly due to our 350 basis points increase in the average lending rate. Interest income increased 10% or ARS3.7 billion year-on-year. In the second quarter of 2022, interest on loans represented 43% of total interest income. Net income from government and private securities increased 33% or ARS13.1 billion quarter-on-quarter, due to higher income from government securities. Compared to the second quarter of 2021, net income from government and private securities increased 66% or ARS21.3 billion. In the second quarter of 2022, income from repos totaled ARS699 million, 38% or ARS192 million higher than in the previous quarter and 69% or ARS1.5 billion lower than the result posted a year ago. In the second quarter of 2022 FX gains including investments in dilutive financing totaled ARS5.4 billion gain, which was 49% or ARS1.8 billion higher than in the first quarter of 2022 and ARS4.3 billion higher than the previous year, due to the Bank's long dollar position and the peso depreciation during the quarter. In the second quarter of 2022, interest expenses totaled ARS42.9 billion, 36% or ARS11.3 billion higher, compared to the first quarter of 2022 and 39% or ARS12.2 billion higher on a yearly basis. Within interest expenses, interest on deposits increased 35% or ARS10.7 billion quarter-on-quarter mainly driven by a 650 basis points increase in the average interest rate paid on deposits, while the average volume of private sector deposits increased 5%. On a yearly basis, interest on deposits increased 4.7% or ARS11.7 billion. In the second quarter of 2022, interest on deposits represented 95% of the Bank's financial expenses. In the second quarter of 2022, the Bank's net interest margin, including FX, was 24.5%, higher than the 22.8% posted in the first quarter of 2022 and the 18.8% registered in the second of 2021. In the second quarter of 2022, net fee income totaled ARS11.9 billion, ARS49 million lower than the first quarter of 2022. On a yearly basis, net fee income increased 8% or ARS842 million. In the second quarter of 2022, net income from financial assets and liabilities at fair value through profit or loss totaled ARS7.7 billion gain, 2% or ARS180 million higher than in the previous quarter. This increase is mostly related to higher income from Government Securities, which increased 26% or ARS1.3 billion. On a yearly basis net income from financial assets and liabilities at fair value through profit or loss decreased 11% or ARS917 million. In the quarter, other operating income totaled ARS3.9 billion, 1% or ARS54 million higher, compared to the first quarter of 2022. On a yearly basis, other operating income increased 68% or ARS1.6 million. In the second quarter of 2022, Banco Macro's personnel and administrative expenses totaled ARS22 billion, 22% or ARS4 billion higher than the previous quarter. As personnel expenses increased 32% as a consequence of salary increases agreed with the Union, while administrative expenses increased 6% and on a yearly basis personnel and admistrative expenses increased 10% or ARS1.4 billion. As of the second quarter of 2022, efficiency ratio reached 31.3% deteriorating from the 29.6% posted in the first quarter of 2022. In the second quarter of 2022, expenses increased 20%, while net interest income plus net fee income plus other operating income increased 7%, compared to the first quarter of 2022. In the second quarter of 2022, the results from the net monetary position totaled ARS38.2 billion loss, which was 13% or ARS4.3 billion higher than the loss posted in the first quarter of 2022, due to higher inflation observed in the quarter, which was 123 basis points above the first quarter of 2022. Inflation was 17.3% in the second quarter of 2022, compared to 16.1% in the first quarter of 2022. In the second quarter of 2022, Banco Macro's effective tax rate was 33%, more information is provided in our financial statements. In terms of loan growth, the Bank's financing to the private sector totaled ARS446 billion, increasing 2% or ARS9.9 billion quarter-on-quarter and 2% or ARS6.9 billion higher year-on-year. Within commercial lending, overdrafts documents and others stand out with a 29%, 10% and 16% increase, respectively. Meanwhile, within consumer lending credit card loans increased 5%, while personal loans decreased 6%. Within private sector financing, peso financing increased 1% or ARS4.1 billion, while U.S. dollar financing increased 12% or ARS21 million. It is important to mention that Banco Macro’s market share with private sector loans as of June 2022 reached 7.2%. On the funding side, total deposits totaled ARS858.2 billion, an increase of 8% or ARS63.4 billion quarter-on-quarter and 65 or ARS50.9 billion higher year-on-year. Private sector deposit increased 10% quarter-on-quarter, while private sector deposits decreased 9% quarter-on-quarter. The increase in private sector deposits was led by time deposits, which increased 15% or ARS49.8 billion quarter-on-quarter, while demand deposits increased 6% or ARS20.7 billion. Within private sector deposits, special deposits increased 9% or ARS62.5 billion, while U.S. dollar deposits decreased 11% or ARS115 million. As of June 2022, Banco Macro's transactional accounts represented approximately 48% of total deposits. Banco Macro's market share of private sector deposits as of March -- as of June 2022, totaled 5.9%. In terms of asset quality, Banco Macro’s non-performing to total financial ratio reached 0.25%. The coverage ratio measured as total allowances under expected credit losses of our non-performing loans under Central Bank rules totaled 159.7%. Consumer portfolio non-performing loans improved 11 basis points, down to 1.24% from 1.35% in the previous quarter, while commercial portfolio non-performing loans improved 149 basis points in the second quarter of 2022, down to 128% from 276% in the previous quarter, mainly due to our [indiscernible] of our SME client, which shows signs of credit deterioration in the first quarter. In terms of capitalization, Banco Macro's accounted on excess capital of ARS284.3 billion, which represented a total regulated capital ratio of 40.5% and a Tier 1 ratio of 35.9%. It should be noted that on May 12th, the [indiscernible] of the Central Bank of Argentina, inform us that it -- the authorized Banco Macro to distribute profits in cash and/or in kind for an aggregate amount of ARS19.7 billion. And the distribution should be carried out approximately equal and consecutive installments. As of this date, the bank has paid on June 7, a cash dividend in the amount of ARS9.9 billion, which correspond to installments 1 through on July 6, a cash dividend in the amount of ARS1.6 billion, which was installment seven and on August 2, a cash dividend in the amount of ARS1.6 billion, which is installment 8. The bank's aim is to make the best use of this excess capital. The bank's liquidity remained more than appropriate. Liquid assets to total deposit ratio reached 90%. Overall, we have accounted for another positive quarter. We continue showing a solid financial position. Asset quality remain under control and closely monitored. We keep on working to improve more our efficiency standards, and we keep a well-optimized deposit base. At this time, we would like to take the questions you may have.
Operator: At this time, we are going to open it for questions-and-answers. [Operator Instructions] The first question is from Ernesto Gabilondo with Bank of America. Please go ahead.
Ernesto Gabilondo: Hi, good morning, Gustavo, Jorge and Nicolas. Thank you for your presentation. I have three questions from my side. The first one is on the macro outlook we'd like to hear from you how do you see the inflation and the interest rate by year end? And given the higher levels, when do you see the potential normalization in bold indicators, especially considering that if at some point you have lower rates in Argentina that will translate into the peso depreciation? Then my second question is on loan growth. Also, we'd like to hear from you considering the inflation how do you see real loan growth for the year? Do you think it's still achievable? Or do you think it could be more something of next year? And then my last question is when do you see the ROE for this year? Thank you.
Jorge Scarinci: Hi, Ernesto. Good morning. This is Jorge Scarinci. How are you? On your first question, according to the local economies inflation in 2022 should be ranging between 85% to 95% that is the range of the consensus of the economics here. And what we are seeing in terms of interest rates, nominally speaking, is that they will maybe slightly increased by the year-end in order to catch up the inflation pace. We are not seeing for the moment that we are going to have a big real interest rates by year-end, but we are going to have slightly higher nominal interest rates, that in our view that should help in our net interest margin to keep on expanding. In terms of the FX, that is the million dollar question. We understand also looking at what local economies are predicting is that the official FX should move at a higher speed, monthly speaking in order to give some kind of a suite at least the agribusiness sector to start selling dollars. Honestly, we believe that the economy means [indiscernible] would like to maybe finish with a more complex economic program before starting to have a higher speed devaluation problem here in Argentina. We understand that the official FX is well behind the inflation rate for the moment is not helping a lot. But towards the year-end, we could see maybe a faster pace on the monthly devaluation of the official FX. In terms of your second question, looking at the loan growth, I mean, what we are seeing is that after the big increase on the nominal interest rates, we are seeing loan demand maybe a bit more sluggish. And we think that by year-end, we're going to finish 2022 with loans growing similar to the inflation rate. So we are not seeing a major positive increase in reattempting in longer by year end. And third question in terms of ROE, it's not easy to answer this question, but we are targeting or we would like to be in the area of 10% positive real ROE by year-end. So that would be between 9% and 11% or 8% and 12% they did to be around 10% for year-end 2022.
Ernesto Gabilondo: Perfect. Thank you very much for Jorge.
Jorge Scarinci: Your welcome.
Operator: [Operator Instructions] The next question is from Nicolas Riva also with Bank of America. Please go ahead.
Nicolas Riva: Thanks very much, Jorge and Nicolas for taking my questions. I have two questions, first, on the 2026 bond, I wanted to ask if you consider doing a tender offer given that the bond is trading in the 70s and losing capital treatment. My understanding is you could only call it once at par last year, but you can still do a tender offer marketplace plus any premium at any time? And if you would need to get dollars from the Central Bank to buyback the bond? Or if you could use your current reposition, because my understanding is that when you issue this bond, you kept the dollars, the ARS400 million for the most part, so that's my first question. And then my second question on your exposure to the public sector. So you have and you reported this, so you have ARS2.2 billion in Leliqs. In total, your exposure to the public sector is roughly ARS4.5 million using your retial FX at the end of June, which compares to ARS2.7 million in equity, right? But in the second quarter, you earned average interest rate of about 50% annually on these Leliqs and on the government bonds in pesos. And I assume the risk weight on this is going to be close to zero, which means it's a great investment for you. The risk, of course, would be in a worst case scenario a default of the government of the peso -- that the peso denominated debt? And even by the Central Bank on the Leliqs. So how do you think about this exposure to the public sector? Can you easily reuse this exposure in a worst case scenario? And have there been any discussions between the banks and the Central Bank and the government about these -- all of these exposed to Leliqs and government bonds? Thanks.
Jorge Scarinci: Hi, Nicolas. Your first question about our 2026 bond, because it has subordinated bond. First of all, we have to ask permission to the Central Bank in any kind of tender or buyback or whatever. And that's first point. Second point, we have the dollars, we have dolalrs in our position to do any kind of buyback on tender. And I don't know if this time the Central Bank would allow us to use those dollars for that. Honestly, for the moment, we are in a wait and see position in that sense, but we have the dollars. Second question in terms of the exposure to the public sector, I mean, looking at what happened in the second quarter, when there was a kind of sale on -- or pressure sale on the domestic debt in pesos, we've had the Central Bank rapidly acting and putting beats on all the curb in pesos and since then the Central Bank is -- they are on the bid side. And according to the conversations that we have with the Central Bank the idea is for them to continue in that attitude, so putting a kind of secure to the financial sector in that sense. Also, recently, the economy Mr. [Masa] (ph) successfully did a swap in the debt in pesos during until October and moving that debt into mid next year. And we think that going forward they could be doing something similar in the debt doing by the end of the year in pesos. And we are not seeing any kind of big risk in terms of refinance restructuring in the peso debt for the moment. We think the exposure that we have on the Leliqs that is almost 100% on the CDs in pesos that we have, that is a kind of almost a maximum that we can have in Leliqs according to the local regulation. We think that the risk of the Central Bank or the Central Bank risk is minor according to what we've seen in Argentina for the last 60-years. In terms of exposure to the treasury, again, we are for the moment putting a low -- very low probability of restructuring the debt in pesos. Also at some point, we have to hedge our equity since we have a kind of a cap on the dollars, we are trying to get that as much as we can in terms of the inflation exposure. So the ideas is to continue for the moment, it is also important to notice is that the Central Bank has been issuing put options, so banks that hold it kind of update to the treasury, we can sell that at once to the Central Bank in case of any potential crisis, plus that the Central Bank is on the curve, on the market, on the beach side just in case. So said that, we are assuming that the probability for this kind of the restructuring is extremely low for the moment.
Nicolas Riva: Thanks very much for that, Jorge. On a follow-up on the last point about the Leliqs, do you think that if you wanted to, you could easily decide not to renew the Leliqs with the Central Bank. Would you get that money easily from the Central Bank? And has your view about the Central Bank being lower risk changed at all with Masa running the Ministry of Economy and perhaps with less money bringing by the Central Bank?
Jorge Scarinci: No. I mean, I think it was last month, we did that -- or we took that additive in terms of maybe renewing partially the Leliqs. We will receive the money without any problem. So basically that for the moment, even though Masa’s economy meters, the Central Bank is doing, I mean, its job and we think there's no problem in terms of decreasing the Leliqs exposure there in terms of exposure to the Central Bank. No, that's all.
Nicolas Riva: Thanks very much, Jorge.
Jorge Scarinci: You’re welcome.
Operator: There are no further questions at this time. This concludes the question-and-answer session. I will now turn it over to Mr. Nicolas Torres for his final considerations.
Nicolas Torres: Thank you all for your interest in Banco Macro. We appreciate your time and look forward to speaking with you again soon. Good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.